Operator: Good day ladies and gentlemen. Welcome to the Macerich Company first quarter 2012 earnings conference call. At this time all participants are in a listen-only mode. Following the presentation we will conduct a question and answer session. Instructions will be provided at that time for you to cue up for questions. I would like to remind everyone that this conference is being recorded and now would like to turn the conference over to Jean Wood, Vice President of Investor Relations. Please go ahead.
Jean Wood: Hi and thank you everyone for joining us today on our first quarter 2012 earnings call. During the course of this call management will be making forward-looking statements which are subject to uncertainty and risk associated with our business and industry. For a more detailed description of these risks please refer to the company's press release and SEC filings. As this call will be webcast for some time to come I believe that it is important to note that the passage of time can render information stale and you should not rely on the continued accuracy of this material. During this call we will discuss certain non-GAAP financial measures as defined by the SEC's regulation G. The reconciliation of each non-GAAP financial measure to the most directly comparable GAAP financial measure is included in the press release and the supplemental 8K page filings for the quarter which is posted in the investor section of the company's website at www.macerich.com. Joining us today are Art Coppola, CEO and Chairman of the Board of Directors, Ed Coppola, President, Tom O'Hern, Senior Executive Vice President and Chief Financial Officer. With that I will turn the call over to Tom.
Thomas O'Hern: Thanks Jean and welcome everyone. Today we are going to be discussing the first Quarter results, capital activity and our outlook for 2012. As we expected during the quarter fundamentals continued to improve. Retail sales had a strong increase and same-Center NOI was positive for the ninth quarter in a row. The re-leasing spreads showed double digit increases. Although occupancy dropped slightly, it remained at a very healthy level of 92.1%. Leasing volume and spreads were both good. Leases signed during the quarter amounted to 216,000 square feet. The average new starting rent was $46.06 per foot. The average re-leasing spread on a trailing 12 month basis is 15.8%. Average rent per square foot in the entire portfolio was up 5% to 45.87% compared to March 31st, 2011. Occupancy cost as a percentage of sales dropped to 12.9% compared to 13.5% a year ago. Looking at the results for the quarter adjusted FFO, which excludes the impact of Valley View, was $0.76 per share, up from $0.52 per share in the first quarter 2011. The operating results were good including same-center NOI growth, excluding termination revenue and SFAS 141 income was 3.4% for the quarter. Lease termination revenue was up nearly $800,000 to $2.9 million. Bad debt expenses are up somewhat at $800,000 compared to $400,000 in the first quarter of last year. With Management company expense and REIT G&A expense were down, Management company expense was down approximately $3 million to $22.5 million, and REIT G&A was down to $4.5 million compared to $7.6 million in the first quarter of last year. That was due to the first quarter of 2011 being usually high in both of those categories as there was a full years' worth of bonuses accrued in the first quarter of 2011. Subsequent to that, bonuses are accrued throughout the year with 25% of the estimated amount booked in each quarter. That change accounts for the drop in both categories for both REIT-G&A and Management company expense. During the quarter, we also booked an impairment loss on Valley View. Valley View has been a hands and loans service since mid-2010. On April 23rd, last week, it was sold for approximately $33 million and concurrently with the sale, the debt and all the accrued interest was forgiven. As of quarter end, because the sale price that was expected in April was less than our carrying value of $88 million we recorded a impairment write-down of $55 million in the first quarter of '12, that hits net income but not FFO. Then in the second quarter we turned around, on April 23rd with the asset sale, we booked a gain on extinguishment of debt of $104 million. We have not included the impairment nor the gain on extinguishment of debt in our AFFO numbers. Valley View and the attached financial highlights of this morning's press release was included in discontinued operations. Looking at our balance sheet, our debt to market cap at quarter-end was 42.3%. Net debt to EBITDA was 7.6 times and our interest coverage ratio is a very healthy 2.57 times. Looking at recent loan activity, in March we closed on a $140 million loan on Pacific View. That was a non-encumbered asset. We put a 10-year fixed rate financing in place at 4.08%. Also in March, we paid off $438 million of the remaining convertibles debentures. Those debentures are now paid in full. During the quarter, we also put a $140 million bank construction loan on the Fashion Outlets of Chicago. That loan is extendable for a full maturity of five years and floats at LIBOR plus 2.50. In addition we received a commitment for $220 million of fixed rate financing on the Oaks. The new loan has a fixed rate of 4.11 and a 10-year term and we expect that to close within the next week or two. In addition we are currently getting fixed rate quotes on Chesterfield and Rimrock, two currently unencumbered assets. The proceeds from those financings are estimated to be $160 to $180 million and those proceeds will be used to reduce floating rate debt on our line of credit. We also expect a significant amount of excess loan proceeds when we refinance Queens later this year and those proceeds will also be used to reduce outstandings on our line of credit. Excluding the loans that have built-in extension options, we only have $150 million of 2012 loan maturities remaining. In terms of FFO guidance in this morning's earnings release, we maintained our adjusted FFO per share guidance, with a range of 6-314. The guidance range excludes the impact of Valley View, both the impairment, as well as the gain on extinguishment of debt. Although we beat guidance in the first quarter, we are not prepared to increase guidance at this time. We will readdress it after the second quarter. Looking at tenant sales, tenant sales continued to improve. Mall tenant sales per foot for the trailing 12 months ended March 31st, 2012 came in at $504/foot. That's up 12.3% compared to portfolio mall tenant sales per foot a year ago, which was $449. At this point, I'd like to turn it over to Art.
Arthur Coppola: Thank you Tom, and welcome to our call. As you can see from the numbers, our leasing, rents and our same center NOI have had very good growth and continued good growth here over the last 5-6 quarters. The outlook is really quite strong on the leasing front and that's really buoyed by the fact that we have strong sales increases across the board, that we have a great product offering and that our centers are faced with very little impending competition. Our occupancy levels will continue to improve over the course of the next year or so. One of the reasons that we have not seen spikes in occupancy is that we have been a little bit stingier in terms of the rents that we are willing to accept because we are in a very strong landlord oriented market today. I foresee this being a landlords' market for quite the foreseeable future. For me, the foreseeable future is the next 3-5 years. There's been a lot of focus lately on cost of occupancies and sales trends with tenants, and while sales have been extremely good with tenants and while I'm thrilled to see comps center sales increases across the board, to me the more important story has been what I have been saying for the past six quarters, which is that the retailers have very strong operating margins. When you multiply strong operating margins by strong sales levels and positive comp sales results, you find yourself a retailer who has cash on their balance sheet, they're making money and they're looking to expand their footprint and their store count across the board. That makes for a very strong leasing environment. We think that's an environment that we're going to be able to tap into for years to come. Helping us to tap into that, I'd like to welcome to our executive team, as an Executive Vice President of Leasing at Macerich, Bobby Perlmutter, he's a well-known industry veteran. I've known Bobby and Eddie and I've known Bobby for 20 years now. He's got a long history, formerly running mall operations at Heitman Financial back in the 1990s when they had investments at up to 48 malls, and more recently is the managing partner and founder of Davis Street Properties, which he recently wound down. He joined us April 23rd. I see him helping us dramatically in terms of our merchandising of our centers. That's really the key to the future for us because now we can begin to focus more so on merchandising, being more selective on the retailers that we accept so that we can drive sales to even greater levels by bringing in the most productive retailers from that results with the greater rents. Obviously that turns into greater same center analyzed as we move forward. On the development front, things look great right now. Tyson's Corner continues to move along on target, and progress is very good there on the leasing front. We have nothing to announce in the office leasing. We talked about that in detail in our last call, but things aren't looking very good there. Fashion Outlets of Chicago is well over 50% signed in executed leases, and the vast majority of the space has been committed to. We're looking at a fall of next year opening, and we're very excited about that. We are currently in the pre-leasing phase of the expansion, the 150,000 square foot or so expansion of Fashion Outlets of Niagara. That's being extremely well-received by retailers, and we see that opening also within the next two years. During the quarter at Broadway Plaza in Walnut Creek, the much awaited Neiman Marcus store opened there. Talking to the Neiman's folks, it's probably one of the most beautiful stores that they've ever built. It's a small edited version store, which is samatic to the trends in department stores today, which is to try and build more productive stores. It's just under a 90,000 foot store. Other retailers of the center have seen huge sales increases as coincident with the entry of Neiman Marcus to the center. Nordstrom in particular has seen great increases by the introduction of Neiman, and this just further bolsters our confidence that we need to find a way to expand Broadway Plaza. We're in talks with the city. We're in a critical juncture there in terms of looking at different ways to expand the center. When we have more details there, we will certainly share them with you. This is a great location, a great anchor line up, and we really see it as one of our next great centers. During the quarter, a little bit of significant note actually, is that we purchased 500 North Michigan Avenue. That's an office building complex, which is contiguous to our North Bridge Mall in Chicago, downtown Chicago. The reason that we purchased this is that it is the missing link to the ownership that we have there of the square block bounded by Michigan Avenue. On the east Rush, on the west Illinois and Grand. It's the missing piece that the original developer had not been able to assemble. By buying this office building, we currently have plans to consolidate the first five levels of office space into a new three level, iconic, probably 40 to 45,000 square foot retail store with a possibility of integrating that store into Northbridge Mall. There's furthermore, the possible addition of an additional expansion to that retail location on the first level, just to the south of the 500 Michigan Avenue location, maybe a 20,000 foot anchor store. When you're talking about Michigan Avenue, where street level rents are approaching $400 a square foot, and it's really enjoying a transformation. We think this is going to be a very important piece to the repositioning and taking of Northbridge Mall to the next level. Northbridge is a terrific mall, it's anchored by Nordstrom, it's been rumored that that's the number one Nordstrom in terms of sales in the United States. It has huge upside and the acquisition of 500 North Michigan is going to enable us to tap into that upside. So we are very bullish on our operating fundamentals. We are very patiently working on expanding our footprint in our core markets; New York, D.C., Chicago, and the west coast. I'd like to open it up for questions at this point in time.
Operator: Thank you, sir. (Operator Instructions) We'll go first to Christy McElroy from UBS.
Christy McElroy - UBS: Hi, good morning guys. Tom, I just wanted to go back to your guidance with regard to the first quarter you guided to roughly 21% of the full year, implying a rate of $0.64 to $0.66. Can you walk us through all the different factors that cause the actual result to be much higher than you expected? What was recurring versus non-recurring, and why wouldn't that then translate into a higher full year forecast?
Thomas O'Hern: Well there are a lot of factors Christy. One in particular is that we ended up with 3 million or so of lease termination revenue, and that's a number that, frankly, every year is a guess. When we look back on history, we had forecast 12 million, but we hadn't forecast any of it coming in the first quarter. So that's a piece of it. We had slightly higher SFAS 141 income as a result of some of the acquisition activity that we've had over the last nine months. Also some straight lining of rents, as a result of tenant changes which went our way. So, there were a few pickups there that may not be recurring. Remember, when we gave guidance, we also indicated that we would have asset sales in the range of 300 - 350 million, and we factored in some dilution there. It's too early to conclude one way or another on how that will go. We've got roughly either closed or under contract $100 million of those sales, that's another part of it. We've also got quite a bit of financing in the works right now. We'll be in a much better position at the end of next quarter to address it, than we are at the end of just one quarter.
Christy McElroy - UBS: I think you had talked about in the last call $0.08 of dilution regarding the asset sales, is that something you will revisit next quarter as far as how much dilution you'll ultimately see?
Thomas O’Hern: Right, we'll take a look at all the major assumptions and do an update at that point.
Christy McElroy - UBS: You've talked about encumbering some of your unencumbered assets, I think a $2 billion pool you've talked about, do you have any restrictions on your unencumbered asset base in any of the covenants on your credit line?
Thomas O’Hern: No, none whatsoever, there's no requirement for an unencumbered pool.
Christy McElroy - UBS: With regard to Fashion Outlets of Chicago, can you talk about how the project economics will work with AWE Talisman. Are there any fees being paid to either party? What's the total project cost and what's your share in the construction line?
Arthur Coppola: Yeah, I think we've disclosed that in the past, but I'm happy to review that again. Our ownership in the project is 60% fee simple ownership today. We will be funding the equity component of the project and the loan is about $140 million. The total cost is around $200 million. We anticipate a double digit cash-on-cash return, and we have the right on a formula basis to look at buying out the 48% interest owned by AWE Talisman after a period of time. I think three years after the grand opening. We're very, very excited about the project and it's shaping up to be a terrific project.
Operator: We'll take the next question from Rich Moore, RBC Capital Markets.
Rich Moore - RBC Capital Markets: Hey, good morning, guys. Another mall CEO this morning Art, said that there's a department store resurgent, do you see something similar going on as well?
Arthur Coppola: To look at all of our retailers, the retail environment is very healthy and that just goes across all sectors. It even includes the national retailers whether they be department stores or specialty stores. They've quit giving merchandise away, and they quit doing it the fall of March 2009. They gave up chasing sales and started chasing operating margins. When you go back and you make a secular change to your business model and you figure out how to make money again, you're going to have a resurgent. Yeah, there very healthy, all of our retailers across the board are in very good shape.
Rich Moore - RBC Capital Markets: The addition of a Neiman Marcus, that kind of thing, or similar department stores could appear more often in your portfolio you think? Well, it has occurred on a non-recurring, recurring basis every year that we've done business. I mean we're constantly recycling and adding and subtracting and repositioning anchor stores. I'd hate to think of how many we've done over the past 35 years but it's a very large number. I bet we've recycled 40% of our anchor space in the last 15 years alone.
Rich Moore - RBC Capital Markets: All right. Okay, good. Thank you. When you think about densification. You know, the addition of office space and multi-family space that had gotten so much attention and then kind of resurged again. I mean, do you still find that to be a good idea in general? Are you going to be doing maybe more of that going forward?
Arthur Coppola: Right now our plans are limited to Tyson's Corner. That's it for now. But we clearly, we've got a great project in the works there and we're doing it for all the right reasons. It's adding 8,000 visitors per day to the customer base who live there or work there that are currently not there. It's going to be great for the mall. We're making money on each of the components. We just think that in a transit-oriented development, which this is as the rail comes to the site, that's it's appropriate. It's going to happen all around you so you might as well be a part of that. Not just be an old suburban mall stuck into the middle of a new central business core. That's really what drives it. It's not a panacea to go mixed juice but where it's appropriate and it's really the most appropriate where you have a transit oriented development.
Rich Moore - RBC Capital Markets: Okay, great. Thank you Art. Then Tom, real quick on the variable rate debt. I think it's around 50% at the end of the quarter of the debt portfolio. You mentioned some of the activities you're doing that will bring that down. Does that take you, you think, overall back to maybe the 20% level? That kind of...
Thomas O'Hern: I think by the time, Rich, by the time we get to the end of the year it's going to be under 20%. Subsequent to quarter end we had $140 million of proceeds that came in on Pacific View Financing. That was used to pay down variable rate debt. The Oaks, which I mentioned, is going to go from floating rate debt to fixed. That's $220 million. The excess proceeds on Queens, Queens Financing will be fixed and that will go to pay down floating. Almost every move we make on the financing front is going to be reducing the floating rate debt.
Rich Moore - RBC Capital Markets: Okay, and most of these fixed rate loans probably in the 4% plus range, 4%-5%?
Thomas O'Hern: They're in the low fours Rich. They're in the very low fours. I don't think we've even done one over 4.25% lately. It continues to be a fantastic environment to be a borrower, especially fixed and long term.
Arthur Coppola: You can break 4%, you can get into the threes depending on your term.
Thomas O'Hern: Yeah, if you went for a five or a seven year deal you'd be under 4% easily today.
Rich Moore - RBC Capital Markets: Okay, great. Thanks guys.
Thomas O'Hern: Thanks Rich.
Operator: The next question comes from Nathan Isbee from Stifel Nicolaus.
Thomas O'Hern: Hey Nathan.
Nathan Isbee - Stifel Nicolaus: Hi, good morning. How are you doing? Just another thing on the balance sheet. Long term debt is readily available but at the same time you do have quite a bit of activity. You have two projects in Chicago, Tysons, and Niagara. Are the asset sales going to be enough in your mind to keep that level in check or do you foresee things coming back to the equity bargains?
Thomas O'Hern : No, I think if you look at the asset sales Nate, and then keep in mind we are not talking about developing into a five or five in a half percent return on cost. We are developing these projects with double digit returns, the value in the end is going to be a cap rate substantially below that. In the development of that nature there is an embedded piece of equity there that is not going to stretch our ratio, so the balance sheet is in great shape. I see no need to do that with the absent of any mid-draft position activity.
Arthur Coppola: Just to further our math, over the next three years are development activity on Fashion Outlets of Chicago, Niagara and Tysons, and those are really the only three that are clearly in our open to buy pipe line. Our total share of those of that outlay of dollars is not more than $400 million. When you have a $2 billion pool of unencumbered asset, that's why we created that pool was to create the fire power to fund new developments, redevelopments, expansions, so we are in very good shape. Our development pipeline is really self funded at this point in time.
Nathan Isbee - Stifel Nicolaus : Okay, thanks. Having recently visited Desert Sky, I think it's finally understanding what you are trying to do there. Let's talk a little bit about how it's evolving at Desert Sky and the other malls that you plan to replicate and what is your long term view of these assets? Would you say that they're foreign and you would like to hold on to them or is it that you trying to get them to a certain place, perhaps package them and sell them off?
Arthur Coppola : We are just trying to maximize the productivity and the profitability of centers that have more than 50 percent of their primary trade area servicing one ethnic group and in that particular case of Desert Sky as well as four other of our properties. We find ourselves with half a dozen properties or well over half of our primary trade area is Hispanic. We feel that centers that are located with that primary customer base need to be marketed different, they need to be leased differently, and operated differently then shopping malls in different demographic profiles. I think we are learning a lot in terms of how we go about the marketing, the leasing, and the operating centers that are primarily located in Hispanic-ally dominated trade areas. To me, I would rather figure that out than expand my business operation to South America quite frankly. When you take half of the population growth in the United States in the next 40 years, it is going to come from that segment of our population. It is the fastest growing and probably what has the highest disposable income. It's really good business sense to try to figure out a way to maximize your productivity in those markets given our base. Again in southern California, given this is the melting pot of the world, we are constantly learning how to cater to different ethnic groups. In Cerritos we think about how can we cater best to the Asian predominance and population that we have there. In Queens we try to figure out how cater best to the 89 different language speaking groups that are in our immediate trade area. The main paradigm is being in touch with your customer, and that's just all we're trying to do at Desert Sky. Where we go with it in terms of core and non-core is unknown. Because personally I believe in that business. I believe that there's great upside there. I believe that there is an opportunity, and we'll just have to see how that plays out. You cannot ignore as an owner the fact that 50% of the growth and population in the United States is going to be Hispanic-based in the next 40 years. You cannot ignore that. One would be foolish to ignore it.
Nathan Isbee - Stifel Nicolaus: Do you get any sense from the national retailers that they're taking a fresh look at that mall now that you've actually changed it a little bit?
Arthur Coppola : Yes, we're actually educating them. I met with a CEO of a national retailer recently and I said, "You know, we do really well in our Hispanic trade areas." He says, "Yes, I know we do. That's our largest customer base." And I said, "Your real estate and research people don't know that." He said, "Yes, I know. I need to help educate them to that." But there's a whole bunch of retailers that do particularly well in that particular demographic segment. So yes, people like Vans, Aeropostale, Journey. There are a whole bunch of retailers that do particularly well, and we're going to populate our centers with those folks. A lot of it though is marketing. We have a whole different marketing calendar in centers like Desert Sky. It's really just being in touch with our community. That's all.
Nathan Isbee - Stifel Nicolaus: Okay. And then if you just look at the Phoenix area mall in your portfolio. Where are sales today versus where they were pre-crash?
Arthur Coppola: Do you have that handy?
Thomas O’Hern: Yes. We have caught up with pre-crash as we've mentioned on the prior calls. Phoenix is one of our best markets in terms of sales growth, and that continued to be the case in the first quarter. The Arizona market which is predominantly Phoenix for us, the Arizona region was up 9.4%.
Nathan Isbee - Stifel Nicolaus: Do you know what that is on just a dollar basis?
Thomas O’Hern: Not off the top of my head, Nate.
Arthur Coppola: I'm sure it's in excess of 2007 sales levels in Arizona, because for Arizona the crash really started in late spring of '08.
Nathan Isbee - Stifel Nicolaus: All right, thanks.
Arthur Coppola: Thank you.
Operator: We'll take the next question from Michael Mueller with JP Morgan.
Michael Mueller - JPMorgan: Yes, hi. Thanks. I was wondering if you could talk a little bit about the timing of the Michigan Avenue office building purchase. How much did it cost? When did you buy it? Anything else on economics you can give us?
Arthur Coppola: Sure, we paid $70 million for it and we bought it February 29th of this year. And we bought it at between 6% and 7% going in return. The opportunity here is really to reposition that first five levels of office building space into three levels of retail. So, we're going to increase the ceiling heights and create a really iconic retail location there. And our belief that the real opportunity here is to take a retail store of linear frontage, all the way from Grand Avenue to Illinois. And have one continuous, seamless retail store front there, on Michigan Avenue that we can offer to retailers. Our belief is that we'll get more rent out of the first 45,000 feet of this 324,000 foot office building, in net operating income than we got from the entire building when we bought the building. And then we'll have basically bought the top 15 floors, not for free, but that will be gravy. And long time, after we carve out the retail street retail component, condominimize the building and sell off the upper office levels off to a natural office user. We bought the building to get our hands on the street retail and to turn it into street retail.
Michael Mueller - JPMorgan: Okay.
Arthur Coppola: That's a retail store that we're currently showing to retailers today. So it could easily be something that retailer, it's going to be an iconic retailer most likely. It's going to be a flag ship most likely, there's a lot of flag ships being created on Michigan Avenue. Burberry is building a new 5-story building, Top Shop just came, All Saints just came. There's a whole bunch of retails doing major stores on the street there. It wouldn't be out of the question for that store to be open in 18 months-2 years. But, depending on how big of an integration that we try and accomplish between that building and the mall. There's one plan that we have that actually takes that office building and has it seamlessly integrated into the mall itself, so that's a possibility.
Michael Mueller - JPMorgan: Okay.
Arthur Coppola: The dollars are not that great actually because we moved very quickly on that of that acquisition. And our partner in the Alaska Permanent Fund in the mall, we've offered them the right to be our partner in it, which undoubtedly they'll take us up on. And the total redevelopment dollars to create this street front retail opportunity and repositioning is less than $25 million. So our half of that, is half of that kind of number. So it's not a huge capital event, but it's a very big repositioning event, profit event.
Michael Mueller - JPMorgan: Okay. Great. And then maybe switching gear again on the asset sales going back to that. You closed at $65 million. I think Tom mentioned you have $100 million that's closed or underway so it sounds like another $35 million is in the works. I mean should we think about with the initial target being $300 million to $350 million, does it still feel like you'll end up doing that this year?
Arthur Coppola: Yes.
Michael Mueller - JPMorgan: Okay. Okay. Thanks.
Arthur Coppola: And the balance of that pipeline will likely close in the second quarter and we'll disclose those events as they occur.
Michael Mueller - JPMorgan: Okay. Great. And last question. I mean the reported leasing spreads have been ticking up each of the past few quarters. And color or commentary in terms of what you're seeing and signing toady relative prior to the 12-month rolling levels of about 16%? Is it comparable? Is it still ticking up?
Arthur Coppola: The numbers, you always have to be careful of. The quality of leasing and the pace of the leasing and the interest levels that we've got is extremely strong. So on a color viewpoint, on a qualitative viewpoint, it's very strong. Sometimes a 12% leasing spread if it's up against some huge rents that a re experiencing, can be more impressive than a 20% leasing spread against some more modest rents. But look, over the past 18 months the leasing environment has improved dramatically. It is very strong right now and I see no reason that it's going to be anything other than very strong for the next three to five years.
Michael Mueller - JPMorgan: Okay. Great. Thank you.
Arthur Coppola: Thank you.
Operator: And moving next we'll go to Craig Schmidt from Bank of America.
Arthur Coppola: Hey Craig.
Craig Schmidt - Bank of America Merrill Lynch: Hey. Given Vornado's statement that everything is on the table, I wondered if you would say is there an interest on your part looking their mall portfolio and in particular I'm thinking of Green Acres Mall.
Arthur Coppola: Well, they have some properties that are in the markets that we have indicated that we would like to expand our presence. Clearly their in the greater New York area. It's no secret that we love doing business in the boroughs of New York. And that's a high priority for growth for our company. We talked about that actually in our shareholders letter 14 months ago that we were going to be primarily on Chicago, New York, DC, LA, and San Francisco, and Arizona for our growth opportunities. We've been delivering on our growth in those markets over the past 14 months and we see great opportunities to grow in those markets in the future and that could be part of it. Look, we have a, we love doing business in melting pots. My office, our office is here in the center of the melting pot of the world, Los Angeles. We know how to do business in melting pots and certainly centers that Vornado owns kind of fits that demographic profile.
Craig Schmidt - Bank of America Merrill Lynch: Great and do you know off hand the size of the Neiman Marcus at Broadway?
Arthur Coppola: 88,000 feet.
Craig Schmidt - Bank of America Merrill Lynch: Great. Okay. Thank you.
Arthur Coppola: Thank you.
Operator: We'll take the next question from Quentin Velleley from Citi.
Quentin Velleley - Citi: Hi, how are you?
Arthur Coppola: Hi Quentin.
Quentin Velleley - Citi: Just in terms of the, going back to floating rate debt and the line of credit, which I think about $800 million drawn now that you've bought back to convert. How should we think about where that line balance is sort of going to be by the end of the year? If you put in the unencumbered assets that you're putting mortgages against at the moment, some excess proceeds in the asset sales. Will the loan sort of be down to about $300 million by the end of the year? Is that a fair assumption?
Thomas O’Hern: Only if Art goes out and buys something. It should be a lot lower than that Quentin. It's at $640 today because we used the cash that was on the balance sheet at quarter end [from Pacific View to pay that down. We could generate $180 million or so from Chesterfield and Rimrock refinancing. That will take it down to under $500 million. As we mentioned, we've got asset sales planned for the year. The excess proceeds there we'd use. I'd say comfortably and conservatively we'll be under $200 million by year end.
Quentin Velleley - Citi: Then maybe if we just go back to 500 North Michigan, where are you holding that out on the balance sheet? Is that in CIP because I think CIP went up by about $100 million over the quarter?
Thomas O’Hern: No, it's not in CIP. CIP, the change in CIP is primarily for Fashion Outlets in Chicago because construction started on that.
Quentin Velleley - Citi: Got it. And then with 500 North Michigan, the office tenants in there, are there development clauses in their leases? Is it a simple exercise to get them to exit the building or is there some more work that needs to go in there?
Thomas O’Hern: Well, nothing's ever simple. But it's manageable.
Quentin Velleley - Citi: Okay. Then, just lastly, in terms of Valley View, I think it was a $2.6 million negative impact on FFO in the quarter. Just for NAV purposes can you break out what the NOI was that you got for Valley View in the quarter?
Thomas O’Hern: NOI has been running negative, Quentin. I think it's running roughly $500,000 negative a quarter.
Quentin Velleley - Citi: Okay. Thank you.
Thomas O’Hern: Thank you.
Operator: The next question will come from Paul Morgan with Morgan Stanley.
Thomas O’Hern: Hey Paul.
Paul Morgan - Morgan Stanley: Hi, good morning. Do you have the rest of the regional break out for sales?
Thomas O’Hern: Yeah, we've got most of it here. As I said Arizona was 9.5%, Southern California was 15.9%, Northern California about 8%, central region 13.4%, and eastern region was at the low level of 7.2%. That was the range. Southern California being the high, eastern being the low and everything else in between.
Paul Morgan - Morgan Stanley: Anything in particular, you have got quite a bit down there in Southern California, any particular striving at 16%?
Thomas O’Hern: Santa Monica Place.
Arthur Coppola: Well, that is really across the board though, you have got the Oaks' doing really well, Cerritos is on fire, we have had double-digit increases there at Cerritos, but it is really across the board.
Paul Morgan - Morgan Stanley: The thing about the spreads is you guys present your spreads quite conservatively and not everybody does it the exact same way. Do you have the GAP spreads as well?
Thomas O’Hern: No, we really don't look at that Paul because we are moving towards all of our leases being on CPI anyway. It would obviously expand that because of the effect of the straight lining of rents would make that spread even wider but it is not something that we track internally. We switched 8 years ago to structuring our leases with CPI increases and so straight lining of rent has been a dwindling number for us over the past 4, 5 or 6 years.
Arthur Coppola: We basically traded annual CPIs for stepped rents and had we remained with all of our leases being stepped rents, if you think about it, back in the day and probably today, the average step rents have rents going up 20% over the course of a new 10 year deal, say 10% or more during the first 5 years and another 10% somewhere else. So if we still had those types, that lease structure, I think if I do the math correctly it seems to me that our spreads would be 10% higher across the board. But we do not do that.
Paul Morgan - Morgan Stanley: Do you look at it on a gross basis like some folks do too?
Thomas O’Hern: No, this is the minimum rent versus expiring minimum rent.
Paul Morgan - Morgan Stanley: Okay. I guess that is it for me. Everything else is taken care of. Thanks.
Arthur Coppola: Thank you.
Operator: We will take the next question from Todd Thomas from KeyBanc Capital Markets.
Todd Thomas - KeyBanc Capital Markets: Hi. Good morning. First question; on the construction loan at the Chicago Outlets, we have not seen a whole lot of construction financing for large projects like this, particularly an outlet and I was just wondering what the demand was like from the lending community for that financing and whether or not you expect to see more construction financing becoming available for outlet space overall from the banks today?
Thomas O’Hern: Well Todd, I think it is a function of the strength of the sponsor in the project.
Arthur Coppola: And the leasing status of the project. We are not going to comment on the state of outlet financing across the board. We are only going to comment on that one project.
Thomas O’Hern: But it was led by two very strong banks that are part of our line group. It was a typical construction loan and they were very happy to get involved with the project. As Art said, it was over 50% pre-leased and even higher than that in terms of what has been committed so it is a good loan from the bank's standpoint and I we are happy to move forward with that.
Todd Thomas - KeyBanc Capital Markets: Okay. Then based on what retailers are telling you and what you're seeing, are you still projecting sales at the outlet center to be $800 a square foot or an excess of that?
Arthur Coppola: We're not going to project that today but we think it's going to be a very, very strong center in those type of sales results as it matures are clearly, in my view, possible.
Todd Thomas - KeyBanc Capital Markets: Okay. Then just as you mentioned, Queens Center is also a refinancing opportunity. I was just wondering, that loan has a March 2013 maturity date, when is that open for prepayment?
Arthur Coppola: That opens up later this year for prepayment. We are in conversations with the existing lender today, who's got an interest in taking a look at that early. Its spots are by a life insurance company so we have the ability to talk to them about a blend and extend program where you extend the loan and increase the size early, without getting into the old maintenance issues. That's the nice thing that you get when you're dealing with lenders that you can talk to, as opposed to publicly securitized debt.
Todd Thomas - KeyBanc Capital Markets: Okay. Then just lastly, I was just wondering, we've heard a lot about the warmer weather both impacting expenses and also sort of tenant sales during the quarters as consumers may have been sort of out and about a little bit more. Any evidence that the warmer winter poled fall or demand that we may see that trend sort of reverse a little bit in April or May?
Arthur Coppola: No.
Todd Thomas - KeyBanc Capital Markets: Okay. Thank you.
Arthur Coppola: Thank You.
Operator: We'll take the next question from Tayo Okusanya from Jefferies.
Tayo Okusanya - Jefferies & Co.: Hi, good afternoon everyone.
Arthur Coppola: Hey Tayo.
Tayo Okusanya - Jefferies & Co.: Quick question on the outlet center space. Given all the competition and the space, wondering how you guys are assessing in an opportunity for you guys to build your portfolio.
Arthur Coppola: Sure. Yeah, when we announced that we would be entering into the outlet space, we said that we were going to only be pursuing locations that we felt had the opportunity to be dominant centers in the space. Since we restricted ourselves to that type of quality profile, we indicated that look, if we own five or seven outlet centers after five years into this program, that would be success. I would say that is probably still the way we view it. That if we own five or seven, or a few more strong outlet centers after our first five years of introduction into the outlet arena that I would be very happy with our status. We're certainly in no race for size, or in no race to deliver. We think that it's a natural compliment to our core businesses, but our goal in being involved in the outlet arena is to be involved with what we view as core type of projects. We have pretty modest expectations on the outlet side. But the nice thing about a company that is big enough to matter, like we are, but still small enough to be nimble and to move the needle is that you add five strong outlet centers to a portfolio of our size, that moves the needle very considerably over a period of five years.
Tayo Okusanya - Jefferies & Co.: That's helpful. Could you give us a sense of what kind of markets in general would kind of meet your definition of a market you would be interested in?
Arthur Coppola: The starting point is the markets that we currently are strongly interested in. Which is the West Coast, the East Coast, Chicago, and Arizona.
Tayo Okusanya - Jefferies & Co.: Sounds good. Thank you very much.
Arthur Coppola: Thank you.
Operator: We'll take the next question from Ben Yang from KBW.
Ben Yang - KBW: Yeah, hi. Thanks.
Arthur Coppola: Hi.
Ben Yang - KBW: Hi, how you doing? Art, you made a comment that the development front looks great and you talk about some of your near term plans but you did not mention Phoenix. But at the same time you also talked about sales in this market coming back pretty strong. It seems like round up development here might be only a matter of time. I was hoping you could just remind us first how much land you own or control in and around Phoenix and then maybe if you had any thoughts on what this land is worth today and even how investors should think about valuing this opportunity for you guys.
Arthur Coppola: Well, we have control of land in different pockets. Sometimes we have options on land. Sometimes we own the land, like we own the land for the new mall that we'd like to build in West Phoenix in Goodyear. We own that land. It's at a fairly nominal cost there. We do not have, we have not announced an opening date for that. We own land in North Scottsdale, on Scottsdale Road in the 101. We have not announced any plans for construction there. We own land north of Tucson, between Tucson and Phoenix in Murano. These are parts of the growth corridors in Phoenix. But until we announce that we're coming out of the ground I would not try and monetize those land positions in terms of the way you view that land. As we announce the projects the value of the land will be evident in the overall returns, the expectations that we expect to see. We own all of the land that we own free and clear. We don't owe any money against any of it, I don't think. Right, Tom? We own it all free and clear.
Thomas O’Hern: Correct.
Arthur Coppola: It's a non-income producing asset that we think will serve us well in the years to come. We think we own the right land in the right locations. But we are committed to the idea of only building when we think it is time to build. When you have a market like Phoenix where you control the best land you're in no rush to build something before it's time. We're not going to build projects in Phoenix before their time.
Ben Yang - KBW: Got it. I mean, it just seems like maybe a few years from now it could be the most interesting part of your story. I mean, it's 1000 acres or even more than that? Is that the opportunity that's in front of you guys, obviously several years down the road?
Arthur Coppola: It's less than 500 acres total. It's a full site in west Phoenix. It's a full site in north Scottsdale. There's other land holdings that we have that would serve smaller developments, but those are the primary sites that we've got. We control land in different ways. We have a right of first refusal on 2000 acres of land on the west side of Scottsdale Road and the 101. It's nothing to have that right of first refusal on state owned land.
Ben Yang - KBW: You said 2000 acres?
Arthur Coppola: 2000 acres.
Ben Yang - KBW: Okay. That's helpful. And a final one on the balance sheet, is there any reason your average maturity on your debt hasn't really moved over the past few years? It's kind of still where it was before the crisis and much lower than what your peers are reporting. Do you guys report maturities excluding extension options or is there maybe something else kind of holding you back from pushing maturities out even further?
Thomas O’Hern: Well that's what we're in the midst of now, and most of the debt that we put in place in 2008, was three, extendable to four, or five years. We have that group of finances that we're working through right now. I mentioned Queens is going to be financed here shortly. The Oaks is one of those loans initiated in '08, that's going to close in the next couple of weeks. You will gradually start seeing our maturities schedule lengthen over the course of the next 12 months pretty significantly.
Ben Yang - KBW: Okay. Great. Thank you.
Operator: We will take the next question from Alexander Goldfarb, from Sandler O'Neill.
Alexander Goldfarb - Sandler O’Neill: Good morning out there, and thank you. Just Tom, along those lines, on Queen center and North Park, those are two loans that are coming up. I'm sort of curious on Queen center just given what seemed to be a bit under levered. Should we think about something in the $5, $600 million range on a refi or possibly bigger?
Thomas O’Hern: I think in the range of 6 is in the ball park, Alex. You're right, it is very under leveraged today.
Alexander Goldfarb - Sandler O’Neill: What about North Park, again I would assume the same thing sort of applies there. What should we think about?
Arthur Coppola: On that one I wouldn't put anything into your modeling other than the loan will get extended at current levels.
Alexander Goldfarb - Sandler O’Neill: Okay. Is there sort of an unencumbered minimum that you guys want to maintain?
Arthur Coppola: No, we just think that having an unencumbered pool is something that we'd never enjoyed until the last two or three years, and we created that pool through the liquidities events that we have had over the last two or three years. It's just a very efficient way to fund future development and redevelopment and acquisition opportunities. It doesn't cost you anything to have the pool unencumbered. Having a line of credit has a standby feature that's attended to that. We just think it's a great source of fire power for us. It's self imposed. The idea that we want to have an unencumbered goal. Four years ago, I'll bet we didn't have $200 million of unencumbered as. Today we got $2 billion.
Alexander Goldfarb - Sandler O’Neill: But Art, I'm not talking like some sort of covenant but I'm just talking some sort of an internal management. Like, "hey, we want to have a billion. We want to have a billion and a half." Something like that.
Arthur Coppola: No, we don't any specific self imposed minimums. We've decided to build up a encumbered pool a year or so ago because we knew it would be a great source of capital to fund our development pipeline and so we did it.
Alexander Goldfarb - Sandler O’Neill: Okay. And just final question. Tom, this is sort of going back to Christie question at the beginning, in the income statement a lot of the lines seemed to move around. Was there anything that happened from bringing on the unwind of Simon JV assets that changed any of the individual lines on the income statement.
Thomas O’Hern: Well, they went from being unconsolidated joint ventures to being consolidated entities so they moved up to the same lines that you would see for other wholly owned assets. So yeah, they all changed.
Alexander Goldfarb - Sandler O’Neill: No, I know that, but I was wondering if there was any reclassification or anything like that occurred?
Thomas O’Hern: No.
Alexander Goldfarb - Sandler O’Neill: Okay. Thank you.
Thomas O’Hern: Thanks.
Operator: And today's last question will come from Cedrik Lachance with Green Street Advisors.
Cedrik Lachance - Green Street Advisors: Thank you. Good morning.
Arthur Coppola: Good morning.
Cedrik Lachance - Green Street Advisors: I just wanted to go back to some of your comments on retailer margins Art. When you look at let's say sales for activity over the last year or so and you look at what [inaudible] there were margins, do you think today both to charge more from an occupancy cost ratio from a percentage of sales that has generated by those retailer than you were able to do so a year or two years ago?
Arthur Coppola: Yes.
Cedrik Lachance - Green Street Advisors: If you were to separate that from let's the $600 a foot, or $700 a foot model versus the $300 or $400 a foot. By how much would that margin end differ?
Arthur Coppola: Actually, I don't think there's a great difference. I was looking at those number yesterday and I was actually please to see that leasing spreads at our lower proxy models were as healthy as the higher productivity models in the last three to six months.
Cedrik Lachance - Green Street Advisors: But if you look at let's say a market ramp over the last year instead of free leasing spread, which is more over the last five to seven years, how would you gauge the improvement at the $300 or $400 foot versus $600 to $700 a foot?
Arthur Coppola: Good. I would gauge the improvement to be good. You've got retailers are willing to consider some of the lower productivity models today because of the of supply when they couple their own internal demand needs and the lack of supply available to them after they run through the top 200 models in the United States. They have no choice but to then look into lower productivity centers that are still very well anchored, very well located, and many times monopolistic in nature and so the level of appetite from retailers in those locations is good and certainly better than it was a year ago. And I have to say Cedrik that the piece that your firm did on operating margins, I thought was one of the more thoughtful pieces that I've seen recently because you are focusing on not just sales per foot but operating margins. And so that applies to the $300 a foot centers as much as $700 a foot centers. Remember that if the retailer is making money, then he's making money in the $300 a foot center also. And that is evidencing itself in terms of the demand that we are getting and the deals that we are making in those centers.
Cedrik Lachance - Green Street Advisors: Okay. Great. Thanks for positive feedback and thanks for the answer.
Arthur Coppola: Thank you.
Operator: And that does conclude today's question and answer session. Id like to turn the conference back over to our speakers for any additional or closing remarks.
Arthur Coppola: All right, well thank you so much for joining us and we look forward to seeing you at the upcoming industry events over the next month or so. Thank you so much.
Operator: That does conclude today's presentation. Thank you for your participation.